Operator: Good morning, and welcome to the Warner Music Group’s Fourth Quarter Earnings Call for the Period and Fiscal Year Ended September 30, 2020. At the request of Warner Music Group, today’s call is being recorded for replay purposes. And if you object, you may disconnect at any time. Now, I would like to turn today’s call over to your host, Mr. Kareem Chin, Head of Investor Relations. You may begin.
Kareem Chin: Good morning, everyone. Welcome to Warner Music Group’s fiscal fourth quarter and 2020 year-end earnings conference call. Both our earnings press release and the Form 10-K we filed this morning are available on our website. On today's call we have our CEO, Steve Cooper and our Executive Vice President and CFO, Eric Levin, who will take you through our results and then we will take your questions. Before Steve’s comments, let me remind you that this communication includes forward-looking statements that reflect the current views of Warner Music Group about future events and financial performance. All forward-looking statements are made as of today, and we disclaim any duty to update such statements. Our expectations, beliefs and projections are expressed in good faith, and we believe there is reasonable basis for them. However, there can be no assurance that management’s expectations, beliefs and projections will result or be achieved. Investors should not rely on forward-looking statements because they are subject to a variety of risks, uncertainties and other factors that can cause actual results to differ materially from our expectations. Information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained in our earnings press release, our Form 10-Q, Form 10-K and other SEC filings. We plan to present certain non-GAAP results during this conference call. We have provided schedules reconciling these results to our GAAP results in our earnings press release posted on our website. Also, please note that all revenue figures and comparisons discussed today will be presented in constant currency, unless otherwise noted. And with that, I’ll turn it over to Steve.
Stephen Cooper: Thanks, Kareem. Good morning, everyone, and thanks so much for joining us today. Looking back on the past year, despite the impact of the pandemic on our business, we're proud of everything we've accomplished. We've kept music fans engaged and excited with the flow of really great new releases and we've seen a marked acceleration in early-stage revenue streams such as social media, gaming, fitness and live streaming. Although effective vaccines may be on the horizon, companies across many different industries are still expecting a prolonged road to recovery. Against that backdrop, we're very fortunate to be in a global business creating something so vital to peoples' lives all over the world. And music, unlike other forms of entertainment, can be enjoyed wherever you are and whatever you are doing. With that in mind, I'd like to turn to our performance in the fourth quarter. While digital revenue grew 15% year-over-year, our total revenue was down 1%. Digital revenue growth was offset by steep declines in the areas of our business that are most aligned with touring and live appearances and therefore most disrupted by COVID. Specifically, those areas are artist's services and expanded-rights in recorded music and performance in music publishing. Excluding revenue from those areas, our growth in Q4 would have been approximately 9%, which clearly demonstrates the ongoing strength at the core of our business. Adjusted EBITDA was up by approximately 33% year-over-year. This highlights the operating leverage in our business, driven by the continuing shift from physical to digital, as well as our focus on operating cost discipline. Our recorded music revenue was down by about 1% is double-digit growth in digital, was offset by a 45% decline in artist services and expanded-rights revenue. As always, our primary focus is on creating and delivering a constant ever-growing flow of great new music. This quarter, Cardi B and Megan Thee Stallion's WAP became the first female rap collaboration in history to debut at #1 on the Billboard Top-100. There was also an impressive diversity of releases across genres from country's Brett Eldredge to pop's Charlie Puth, to rap's Saweetie. On the international front, artists who topped the charts included Germany's Amigos and Kontra K, France's Aya Nakamura and Brazil's Anitta, whose Me Gusta had more than 140 million streams in just two months. Japan's Aimyon and Twice enjoyed huge successes helping drive our physical revenue from a decline earlier in the fiscal year to essentially flat in Q4. Our top selling artists for the fiscal year also showcased the power and range of our roster. From breakout sensations, Roddy Ricch and Tones and I, to new global icons, Dua Lipa and Lizzo, to megastar Ed Sheeran. Despite a solid overall year, revenue from our music publishing business declined about 3% in the quarter. More importantly, [Technical Difficulty] digital revenue in music publishing continued to be strong growing almost 30% year-over-year. This impressive jump was offset by declines in performance, where revenue was lost from the closing of bars, restaurants, clubs and concerts. Mechanical and sync were also down. That being said, sync has shown some recovery since fiscal Q3 with a gradual resumption of television and film production. Warner Chappell continued its creative revitalization as its writers contributed to 18 #1 albums on the Billboard 200 Chart during fiscal 2020. This included Pop Smoke's posthumous release Shoot for the Stars, Aim for the Moon. As the result of our aggressive global signing campaign, we attracted a growing number of world-class songwriters, including country star Thomas Rhett; iconic Mexican Group, Bronco; and the legendary Quincy Jones. The company also renewed its deals with a number of its global superstars, including Spain's Pablo Alborán, Germany's Capital Bra and Sweden's Miss Li. Since our acquisition by Access in 2011, we've continued to evolve from an Anglo-American company into a global music entertainment enterprise. Today, our hits can come from anywhere and resonate everywhere. Our business now spans over 70 countries, and during COVID, we added to our global reach. Earlier this year, we opened new offices in Vietnam, India and Turkey, while Warner Chappell opened in Shanghai to capitalize on the exploding Chinese entertainment market. ADA, our independent label services division, expanded into Asia and Latin America. In addition, we forged innovative partnerships with Punjabi music specialist, Ziiki Media in India and with Africori, the largest music distributor in sub-Saharan Africa. If there has been a silver lining to the COVID cloud, it’s been an opportunity to recalibrate our long view, accelerate the pace of change, and position ourselves to emerge from the pandemic stronger than ever. COVID has reinforced the importance of technology across every aspect of our business, from how we sign talent to how we market music and how we pay royalties. It’s made us more agile, more efficient, and more precise. Just two quick examples. Since January, on a year-over-year basis, we doubled the number of new artists and songwriter signings identified through our proprietary A&R app, Sodatone. In the same timeframe, we've doubled the number of songwriters and tripled the number of recording artists using our royalty portals. Music is being woven into every aspect of our daily lives and we have the unique intellectual property that countless emerging platforms need. We are standing on the threshold of a new golden age of music and the opportunities are everywhere. As a result, we see subscription streaming as just the beginning. It is only one of our many avenues for long-term growth. With this in mind, we wanted to give you a look at what's on our horizon. First, the worlds of social media, gaming, and live streaming. With an expanding number of partnerships, including Facebook, TikTok and Snap, among others, social media is already a meaningful nine-figure revenue stream and is growing at a rate faster than subscription streaming. Billions of people are able to create the soundtrack of their lives. The creators are the audience and the audience are the creators, producing a massive multiplier effect. Artists and songwriters of all genres and generations, have the potential to go global at any moment. Thanks to a recent viral video, Fleetwood Mac's Dreams returned to Billboard's Top 10 more than 40 years after it was first released. COVID has supercharge the demand for 2D and 3D live streaming events and we successfully facilitated virtual concerts on platforms like WaveXR, Roblox and Fortnite. These platforms enable our artists to engage with audiences through an interactive immersive content that defies real-world limitations. Around these experiences we're also offering digital goods such as in game avatars. On track to be a several hundred-billion-dollar market by 2025, gaming is among the fastest growing sectors of digital media and we've positioned ourselves to forge meaningful partnerships within the gaming community. Second, we've expanded our involvement in other forms of entertainment content, like TV and podcasting. Especially with the rise of OTT, the demand for music driven programming, both audio and video, is rapidly increasing. WMG currently produces dozens of podcasts and we've already had some successes such as Digging Deep with Robert Plant. In 2017 we launched a dedicated film and TV division, Warner Music Entertainment. This group has been delivering a slate of fantastic projects such as Spike Lee's acclaimed film and David Byrne's American Utopia. We recently announced a major partnership with Imagine Entertainment, the production company behind movies like 8 Mile and TV shows like Empire. Third, we've created a growing network of owned and operated direct-to-consumer destinations. This makes us unique among the major music companies. We acquired social publishing platform, IMGN and music news site HipHopDX this year. They joined UPROXX, EMP and Songkick, as ways for us to gain early insight in the cultural trends and fan behavior. Our global e-tailer operations have adapted quickly to the new reality of the marketplace. For example, EMP, our European digital merchandiser launched and array of new products including a Stay-At-Home collection. And since the beginning of the pandemic, they have sold nearly half a million branded facemasks. Year-over-year their user base was up 10% and it is showing accelerating growth so far in the current fiscal year. Fourth, we’re seeing explosive activity in the in-home fitness arena most notably through physical products like Peloton and Mirror, but also through virtual reality experiences like Supernatural and Oculus. According to Statista, the global fitness subscription market is already more than $23 billion. These services are still at low market penetration, but they are fueled by music and there’s enormous potential for future growth. I also wanted to give you an update on our diversity, equity, and inclusion initiatives. Maurice Stinnett arrived in August to lead our efforts in this space, working with our teams around the world. These teams include our executive diversity and inclusion council, the employee resource groups and senior leadership. At the same time, the $100 million Warner Music Group, the Blavatnik Family Foundation's Social Justice Fund has gained momentum. The fund is making disbursements to organizations that are doing amazing work on the frontlines of anti-racism, community transformation, musicians’ support and prisoners’ rights. I also want to note that CC Kurtzman became the newest member of WMG's Board of Directors on October, 1. CC brings valuable independent expertise and perspective to the Board. In line with best practices in corporate governance all the members of the Board with the exception of myself are now external. Finally, as we look at 2021, we’re expecting that our release schedule will be backend weighted with highly anticipated music from some of our global superstars. In this increasingly complex environment, we’re the vital connective tissue between artists, fans and services. This gives our artists, songwriters and us the power to entertainment the world, shape the course of culture, and satisfy the essential human need for connection and solace. And now, over to Eric.
Eric Levin: Thank you, Steve, and good morning everyone. As you know, our fiscal year ended on September 30 and we released preliminary estimates of our results on October 19 in conjunction with the bond offering we launched at that time. COVID has obviously creating a unique set of challenges since taking hold in early March and has impacted certain areas of the business in the months that followed. Moving to our performance. In the quarter, our total revenue was down approximately 1% on a constant currency basis and effectively flat on an as reported basis compared against the prior year quarter. Artist services and expanded-rights and record music and performance in music publishing were the most affected areas due to the cancellation or postponement of touring. If you exclude those revenue streams, our revenue grew 9% on a constant currency basis and 11% on an as reported basis compared to the prior year quarter. For the full-year our total revenue was about flat on both a constant currency and as reported basis. Excluding revenue streams from artist services and expanded-rights and performance, our revenue grew 4% on both a constant currency and as reported basis compared to prior year. We saw significant growth in both adjusted OIBDA and adjusted EBITDA in the fourth quarter and full-year. In Q4, adjusted OIBDA increased approximately 35% to a $174 million with margins improving from 11.5% to 15.5%. This improvement was driven by an increase in contribution from higher margin streaming revenue, lower variable compensation expense and active cost management initiatives. Adjusted EBITDA increased 33% to $177 million with margins improving from 11.8% to 15.7%. The increase was largely due to the same factors that drove our adjusted OIBDA performance in addition to higher pro forma savings that we expect to realize from our transformation initiatives and the pro forma impacts of certain transactions closed in the quarter. For the full-year adjusted OIBDA and adjusted EBITDA increased 11% and 14% respectively, driven by a mix shift towards higher margin streaming revenue as well as lower operating costs. Adjusted OIBDA excludes one-time costs related to our IPO, non-cash stock-based compensation expense, COVID related expenses, the company’s Los Angeles office consolidation, restructuring and other transformation initiatives. Adjusted EBITDA excludes these items and includes pro forma savings that we expect to realize from our transformation initiatives and add-backs for certain transactions. Please refer to our press release for calculations and reconciliations. In recorded music, Q4 revenue decreased by just under 1% over the prior year quarter. Digital revenue grew almost 13% driven by a 16% increase in streaming revenue which benefited from growth in revenue from emerging digital platforms and a significant recovery in ad supported streaming revenue compared to Q3. Physical revenue was flat and licensing revenue declined 6%. The decline in licensing revenue reflects the decrease in broadcast fees and synchronization revenue from lower advertising, television and film deal activity due to the impact of COVID. Artist services and expanded-rights revenue which includes merchandising declined 45%. For Q4, recorded music adjusted OIBDA increased 35% over the prior year quarter to $161 million due to a revenue mix shift towards digital and overall cost savings. Adjusted OEBIDA margin increased 4.3 percentage points to 16.8%. For the full year, recorded music revenue declined slightly as growth in digital was more than offset by declines in physical, artist services and expanded-rights and licensing revenue. Adjusted OIBDA increased by 12% with margin improving to almost 20%. Music publishing revenue declined 3% in Q4 as digital revenue grew by 28% driven by increases in streaming revenue and timing of digital deals which was more than offset by declines in performance and sync as well as a decrease in mechanical revenue. Music publishing adjusted OIBDA decreased by $1 million and margins remained flat. For the full-year, music publishing revenue increased by 3% and adjusted OIBDA decreased by 4%. In the fourth quarter, operating cash flow increased 17% to a $176 million compared to $151 million in the prior year quarter due to timing of working capital, including payments from certain digital services. Free cash flow decreased to $44 million compared to $115 million in the prior year quarter largely because of increased CapEx to support transformation initiatives and increased investment and acquisition activity partially offset by the higher operating cash flow. For the full-year, operating cash flow increased by 16% and free cash flow increased to $244 million from $24 million in the prior year. With reflected the acquisition of EMP for a $183 million in fiscal 2019 which was entirely financial debt. CapEx in the fourth quarter was $37 million compared to $22 million in the prior year quarter and was $85 million for the full year. The increase over the prior year quarter is related to our previously announced plans to upgrade our IT and finance infrastructure. We expect to invest approximately $20 million of the costs associated with this program in fiscal 2021 and annualized run rate savings from the program should be about $35 million to $40 million once fully implemented. For fiscal 2021, we expect total CapEx to be in the range of $90 million to a $100 million. Cash taxes were $81 million in fiscal 2020 and we expect they will be in the $90 million to $95 million range in 2021. On September 1, we paid our quarterly dividend of $0.12 per share, and on November 13, we announced our next quarterly dividend of $0.12 per share to be paid on December 1. As of September 30, we had a cash balance of $553 million and net debt of approximately $2.6 billion. On November 2, we completed a $250 million tack on to our 3% senior secured notes due 2031. The proceeds of this financing in conjunction with the cash on hand of approximately $90 million were used to fund two acquisitions of music and music related assets for aggregate cash consideration of $338 million. As we look ahead to the rest of fiscal 2021, while we don't give guidance, our expectations for full year revenue and adjusted EBITDA performance remained largely in line with our internal expectations at the time of the IPO. However, certain areas will be impacted by COVID. While our objective is to have a steady flow of great new music, there will always be lumpiness in our release schedule. Even without COVID our release schedule would have been back half weighted. The COVID has complicated the situation with the logistical and recording challenges it has created. That said, we expect streaming growth to continue to be strong through ‘21. So there are no material changes to our expectations for streaming, which represents about 60% of our total revenue today. We expect some slippage on our blockbuster albums to the back half of the year. We also expect our artist services and expanded-rights revenue, as well as performance revenue from bars and concerts will be second half weighted as economies reopen, since it's starting to recover, but should remain impacted in the first half of fiscal ‘21 due to film and TV production delays. The latest data show that film permits in LA grew by 24% in October versus September, and that filming activity is just under 50% of what is normal. Physical should see some bounce back, but overall, we expect to see continued decline. In 2020, we return to the public equity markets in the midst of a global pandemic that has challenged us to re-imagine our business. We look forward to continuing to drive music through all of the places and platforms where it touches our lives. We thank you for joining our call today, and we'll now open the call for questions.
Operator: [Operator Instructions] Our first question comes from Ben Swinburne with Morgan Stanley.
Benjamin Swinburne: Hey, good morning, guys. One for Steve and one for Eric, please. Steve, you've been talking for years about price points and subscription streaming, and it looks like we're starting to see prices move up based on what Spotify has talked about granted it's only seven markets. But key to this, I'm sure you would agree is that, the competitors don't start discounting for share and driving prices offsetting that trend upward with sort of a pricing war in the industry. So I'm wondering, what are your thoughts as someone who has been obviously focused on this for a while on the implications of Spotify's decision to start raising prices? And do you have any expectations for what the broader industry may do as its competitive set as a reaction? And then I'll just ask Eric. Eric, you guys completed a bunch of acquisitions in the quarter. I think based on the 8-K, there was a modest revenue impact, but a more substantial EBITDA impact. I wonder if you could just give us a little bit of color on what's going on there and what you guys acquired? Thanks.
Stephen Cooper: Okay. Hey, Ben, good morning, and happy holidays.
Benjamin Swinburne: Good morning.
Stephen Cooper: So, first of all, we do think this is good news that Spotify is beginning to take more seriously upward bound pricing and the news that they're going to be testing in a number of countries was well received at least by us. I think that as subscription strength grows and as these services offer more verticals, that it is likely that we continue to see across a number of the more substantial players exercising their ability to raise prices. I'm sure you know, when Amazon added their high def tier, they raised the prices there. I think the other services, given that Spotify is essentially a pure play, we'll look at this as an opportunity to also test the market and follow along. I don't see any massive shift of subscribers from Spotify to other services. They obviously have created their playlists. They have their routines on Spotify. And as we said during the IPO, ultimately, the value of the years has to begin to catch up with the value of the eyeballs. I think this is a start. I’m very hopeful that it will be a successful start and I believe this will give the other services the opportunity to follow.
Eric Levin: Great. And let me take your second question, Ben, and by the way, Happy Thanksgiving, everyone. The – on the two deals that we closed this quarter were a combination of music publishing and recorded music, domestic both catalog and go-forward rights. I think part of your question is by bringing up the revenue of 6 and the EBITDA of 37, some of these assets or many of these assets were ones where we had a partial position in and it allows us to consolidate those rights in those assets, so that we are having a significant weighted upside even though the revenue impact is less.
Benjamin Swinburne: I see. Thank you both. Thanks.
Eric Levin: Yes. Thank you, Ben.
Operator: Our next question comes from Heath Terry with Goldman Sachs.
Heath Terry: Great, thanks. I was wondering if we could spend a little bit more time on some of the new revenue opportunities you touched on earlier, particularly some of the social media areas, things like Twitch and TikTok. And when you look at the monetization framework for those, is there anything that you would compare them to? I mean, as we think about sort of the passive nature, at least in terms of song choice for most of the people consuming the music on those, does it make it more tend to your licensing models versus your streaming models? How would you have us think about sort of the potential there? If it's something completely new, where along the spectrum perhaps do you see it potentially falling as it matures? And then, when we look at that category in aggregate, is there a way that you would -- you could quantify it for us, either in terms of users or even better sort of hours consumed that would put it on par with, say, where streaming wise X number of years ago, or some way just to sort of give us a sense of where you see that opportunity in terms of its maturity at this point?
Eric Levin: Steve, do you want me to take that, Steve?
Stephen Cooper: Sure. Go ahead, Eric, and then I'll chime in if there's anything I could add.
Eric Levin: Fantastic. So, Heath, really interesting question. First, with -- the first question is really look more like streaming or more like licensing. Really, these look more like streaming and the way I think of it or I think the way we think of it is licensing is generally more of a case-by-case type situation, whereas these really are full catalog plus new music licenses, access to the full portfolio and that is much more like streaming. The use cases obviously by whether it's a social service, a fitness service, or even within social services can be very different. But it's really content that is selected, accessing a vast array of catalog and constantly being updated with new music is much more like streaming. Now, each case is different and the deal structure that reflects the appropriate monetization for music and its relative value given to the overall content is different on a case-by-case basis. And those have to be evaluated and negotiated as these business models evolve and it clarifies exactly how they're monetizing, exactly the role of music players. Quantifying it versus streaming is a little challenging in a very linear way, but I can try and do it directionally. What we would say is the first thing with streaming that makes it relatively straightforward to quantify is, you can all assess the TAM, the Total Addressable Market, if you look at the Smartphones, and then you could start to track penetration and see what the addressable market is. It’s much harder to do with the social fitness live gaming services, because with streaming services, in general, this is simplification. You're likely going to have one per home, and it's competition to get as many homes as you can. With social and fitness and other services, you can have many -- monetize, used and monetized within an individual home. One person may use TikTok in a home and Facebook and their brother or sister may use Instagram and they may have a Peloton or another. So your total addressable market really becomes enormous when we think about multiple services and in each home and new services launching that use music all the time that continue to increase that potential. What we can say is that, each of these businesses, gaming is already $100 billion business, fitness is already a $10 billion, $20 billion to $30 billion business and growing rapidly. And that our revenue streams from these, which three years ago, were really nascent, now is $100 million annually and growing extremely fast. So what we -- if I was equating this to streaming, I would say this would be the very, very early days of streaming, when people were just discovering it, and its rate of growth was accelerated. And I think we see this as a high-growth portion of the business for quite some time and its ability to grow to large numbers is we think, very meaningful. But I apologize, I can't do it with numbers in a better way, because its total addressable market is just, we think magnified by the fact that there could be multiple services utilized per home.
Stephen Cooper: Heath, I would just supplement that with a thought, particularly with TikTok. When you look at this service, the creators are the audience and the audiences are the creators. And the way the TikTok users are utilizing that service, from at least our perspective, increases the ability of music to go viral. And it goes viral because for these users, it's not a social platform it's a game where we're the creators trying to track their fellow creators and vice versa. And the utilization of music, the utilization of these contests, these dares, not all of them safe at times, has just produced from our perspective a tremendous multiplier effect by way of utilization, and we see that continuing for the foreseeable future.
Heath Terry: Great, thank you both.
Stephen Cooper: Thanks, Heath.
Operator: Our next question comes from Brian Russo with Credit Suisse.
Brian Russo: Hi, thanks for taking the questions. I've got two for Steve on the publishing business, and then one for Eric. So for Steve, you recently made a significant catalog purchase. And given all of the headlines around sort of Taylor Swift and the friction between her and the owners of her IP, I was just hoping you could talk about how you ensure that Warner Chappell maintains a positive relationship with the artists? That's one. The second question on publishing is, is that we're clearly seeing a lot of capital being put to work buying up catalogs. So maybe you could talk a little bit about what value Warner can bring to a catalog, such that when you make an acquisition, you can generate healthy and attractive returns even in the current climate of rising valuations? And then last for Eric, right now the Street is expecting your total revenue growth to improve next year, and adjusted EBITDA to grow more or less right along with it roughly the same pace. So the question is, is that a reasonable expectation for adjusted EBITDA do you think? Maybe you could highlight for us any swing factors that might prevent adjusted EBITDA from growing around the same pace as your revenue next year? Thanks.
Stephen Cooper: Okay, thanks, Brian for the questions. So, first of all, with respect to publishing assets, artist relations, so on and so forth, in our latest acquisition, we were approached by our artist and the artists wanted to sell part of his rights and we were able in a very cordial way to work out a deal that he or she was very happy with and we were very happy with. We do not typically sell rights. We are more often than not, and acquired rights, but we are very, very, very sensitive to how our artists feel about those transactions. Frankly, we have turned down transactions where the artist was not happy, where the artist was not inclined to be supportive, because we are in the business on both sides of our businesses, long-term artist development. So we're -- when we look at the Taylor Swift, the ongoing back and forth between Taylor and Braun, and Taylor and Shamrock, those are types of situations that we look to avoid. One of the reasons that we do these transactions, and one of the reasons that we're in the publishing business is that we have a platform that can not only administrate copyrights, but a platform and an organization that can amplify their success Brian. We have -- we are a full service shop. So once rights are acquired, we go to work on syncs, we go to work, inviting these writers into writing camps, we go to work trying to match songs to artists that we know we're looking for, new product, new sounds, innovative tunes and lyrics. And our business is to work with our artists and those copyrights to create more momentum and more success by being proactive and not letting them sit in a vault for the next 5,10 or 15 years. What we see with other investments coming into the market where substantial capital is put against these investments, those organizations are investment organizations. And, frankly, it looks to me like it's a fixed income arbitrage play, as opposed to how do we work with the artists in these copyrights to ensure that we are doing everything we can proactively to optimize the results of their songwriting efforts. So we're in a different business. We're operators that work with our artists on investments. We're not an investment house, that's looking to arbitrage fixed income Brian.
Brian Russo: Makes sense.
Eric Levin: And I'll take the ‘21 question on growth. So Brian, as you know, we don't give guidance. So I'll answer perhaps a little generally, but I'll try and answer as clearly as I can. So first and foremost, we manage our business for growth. We manage to drive strong growth in our business. One of the metrics we discussed on the call was that Q4 revenue growth, excluding artist services, and in Warner Chappell performance grew 9%. The underlying business, he despite the areas affected by COVID is still showing very strong growth. We don't control what's going to happen with COVID next year and specifically, those that are related to touring, those revenues related to touring as artist services and performance in publishing could be affected for parts of next year. One, we believe there are opportunities to really focus on driving the areas that are available for growth and getting really strong growth out of them. And when the impacts of COVID subside to make sure we're poised to immediately capitalize on the opportunities of those areas that are resuming growth in Q4 alone. You saw ad supported streaming improve. You saw physical improve and we saw early signs of sync revenue improving. So we're already seeing signs of improvement in key areas of revenue and in ‘21, we will capitalize on those opportunities regardless of when these revenue opportunities start to improve. We are also very focused on driving bottom-line growth, just like we did in ‘20, when there were certain revenue streams that were growing well, and other that were limited by COVID, we focused on managing costs, putting our resources at -- into place where they'll drive the best bottom-line results and performance in the market. And we expect to continue to do that in ‘21. Continuing to drive bottom-line growth by focusing on spend in the areas where it can drive impact and in the areas where it can, making sure we're managing very actively. In addition to that, we have our cost containment initiatives, which will start to roll online in fiscal ‘21 obviously expanding over time. Thanks, Brian.
Brian Russo: Understood, thanks guys.
Operator: Our next question comes from Rich Greenfield with LightShed Partners.
Richard Greenfield: Hi, thanks for taking the question. We've seen a lot of -- there's been a lot of talk surrounding what's going on in the video game space, with Twitch and others looking at takedown notices. And it feels in many ways what the music industry accomplished with YouTube many years ago. I was wondering if you could sort of give us a roadmap of what do you think happens in the video game space? How does this play out over time? And how significant can the revenue? Or can the dollars be more broadly for the industry, but obviously for Warner as well?
Stephen Cooper: So, Eric, why don't I start and then you can add in anything you want. So I think there are actually two ways that we're looking at this Rich. One is the point you touched on, which is, obviously, when people are utilizing our music or anyone else's music, we believe that should be licensed. So in many respects, you're right, this looks like the early days of YouTube. But we and the gaming world are not much better organized than they were 15 or 20 years ago. So, fact of the matter is, Twitch is talking to the industry about licensing the music and obviously based upon the use cases that license will be narrow, it will be broad it will be on terms and conditions that support the use cases and support the growth of those use cases. So that's one avenue. The second avenue that we see as being as or more productive, are partnering with gaming companies. So that inside of the immersive worlds they're creating, Warner Music has the right sort of beachfront properties, sort to speak, where we are inside of those games, within conjunction with our artists or artists avatars, are providing entertainment, are holding concerts are bringing people to the Warner Music arena for other events. It's an opportunity to sell virtual goods. It's an opportunity to sell real world goods. And it's an opportunity to create a broader Canvas for our artists to paint on. So we are looking this, we're looking at gaming as a multidimensional opportunity for Warner Music and for our artists in the years ahead. Eric, you may want to add to that.
Richard Greenfield: But, Stephen, just before you move on just I’d love the answer. When you look at Roblox going public, will we start to get a flavor of part two, as people start to dig into Roblox, will we see some of what you're talking about?
Stephen Cooper: Well, fingers crossed that you will, because these games and these gaming worlds have to continue to expand their offerings to continue to attract and hold at the players in their games and their universe so to speak Rich. So just like we can't stay static, they can't stay static. And partnering with people like Warner Music gives them an opportunity to bring some of the world's greatest music, some of the world's greatest artists into their main events, which is good for them and good for us because these type of events attract millions upon millions of gamers and they add flavor to the game, that would be absent without music and our artists. So the answer is yes, in the future you should expect to see more of our participation in the gaming world and participating in a way that we create value for artists. We create value for the game, for the game companies and we create value for Warner Music.
Eric Levin: And just to put a button on that, one of our artists, Ava Max just recently had a live stream event on Roblox, so we're already at work, actively working with that platform and agree with everything Steve said this is a vital robust area that's more and more fully.
Richard Greenfield: Thank you both for the detailed answer. I appreciate it.
Eric Levin: Thanks, Rich.
Operator: Our next question comes from Jessica Reif Ehrlich with BOA Securities.
Jessica Reif Ehrlich: All right, thank you, good morning. I have three different questions. First on, I think this one is for Steve, Steve you talked a lot about how important it is to go global. Where are you now versus your long-term aspirations and what percent of your artists are -- of your biggest revenue is local repertoire versus Anglo? Is there any difference in margins between Anglo and the rest of the world? Second question, our topic is on live, I'm sure we're all super excited about the potential vaccine and getting back to life as we know it, but how do you think about or what do you anticipating for live to come back at scale and how should we think about the financial risk? It's scaled, live, touring, is pushed to '22 versus the summer of '21? And then the third and final question is on marketing. Spotify is testing a new discovery mode, which allows artists and labels to influence the song selected by its algorithm, by the seasonal or royalty payout. How does this feature affect your marketing strategy? And how do you think about the importance of marketing within that ecosystem or in DSPs in general, versus marketing or promoting music through other channels? Thank you.
Stephen Cooper: So Eric, I'll take the kind of the global and the marketing and you can take the couple in between. Thanks for your questions, Jessica. Our ambition is, we've said historically, music is the only universal language on the planet and our ambition is to be able to be speaking that music in every language on the planet. As we mentioned during our IPO process, we have expanded tremendously over the last seven or eight years, our global footprint and it was an intentional expansion to turn this from an Anglo-centric to a truly global music entertainment company. That expansion is going to continue. We are constantly looking at opportunities outside of, well, we're looking at opportunities inside the U.S. inside the U.K., but also in the rest of the world, because when you look at streaming or you look at gaming, or you look at TikTok, they are global enterprises and the people that utilize them are an army of global citizens. We want to be in that same place where we are global and we are an army of music content deliverers to people around the world that are looking not only for music in English, but music in their local languages. And one of the reasons we are so intent upon this expansion is that typically more than 50% of the music listened to in any local area is the local music. So that while Anglo music travels well globally, and is a powerful mover of culture, at the local level, the predominant form of music is local music. And therefore, you've got to be better, because we are global and we want to be able to speak music in all of the languages of the globe. On the Spotify question, we look at and we evaluate marketing tools all the time to the extent where we find tools that we believe for the cost, provide an adequate rate of return, we will experiment with them, experiment with them, experiment with them and if they work, we will continue. If we find that the cold is worse than the cure, sort to speak, or the cure is worse than the cold, I guess, is the way that phrase goes, we move on to other tools that provide us with better results and better rates of return. So we have views. We are experimenting with the Spotify Marquee, but it remains to be seen how valuable a tool that will be. And with that, I'll turn it over to -- and hopefully that answered your question Jessica and I'll turn it over to Eric now.
Eric Levin: I think there are a couple more, I'll try and hit it quickly. One, you're asking about local versus Anglo margin on repertoire and I would say, in general, our [indiscernible] businesses and our domestic business, similar margins. There's each piece of music can be very different and each country around the world is different. There are countries that really are dominantly local music, and the International is less a piece of the pie. And - in every business, virtually every business where we do business, we're producing significant amount of local language, local music. One thing about Anglo [indiscernible] globally, the marketing often happens in this post market. And then when it goes overseas, although there is marketing in other markets, it does take advantage of the initial marketing, and its home market release when it goes globally and their candy, kind of called it scale or reap benefits of marketing, for the music that goes global, whereas local music always needs to be marketed locally to make sure we do everything we can to break that artist and that music locally. So the differences are often in marketing more than anything else and where the marketing spend is to break individual piece of music. And then on live, I would say there's two ways two components for that. One is for our business, while a lot has been on hold for the past eight months, we have pivoted how we break and promote music given that that's no longer part of the equation and I think have been very effective in developing marketing programs and techniques that allow artists and their music to reach fans and break across platforms locally and globally. For us specifically, and how it affects Warner Music Group financially, obviously there's -- we have concert promotion, businesses and tour merch businesses within artist services. Those have larger revenue than a bottom-line impact. Those tend to be our lower margin businesses. So with those businesses, we obviously manage costs, or that, although there'll be a top line, in fact, a very limited impact on our bottom-line. And we'll continue to monitor those really closely and as tour live starts to resume, we fully expect to re-energize our tour merch business and our concert promotion businesses in certain markets. Again, those are a fraction of our revenue. And an even smaller portion of our bottom-line is that we do expect to re-energize over time when touring restarts. Thanks, Jessica.
Jessica Reif Ehrlich: Thank you.
Operator: [Operator Instructions] And our last question comes from Matthew Thornton with Truist Securities.
Matthew Thornton: Hi, good morning, everybody. Thanks for taking the question. Maybe one for Steve and then two clarifications for Eric, if I could. Steve, coming back to live here just for a second, given the reach of DSPs at this point and given the rise of live streaming here during COVID, I'm curious your thoughts as to how you're leaning into the opportunity or if you think there is an opportunity here to really accelerate, when we come out of COVID to re-accelerate live as it relates to your touring business, your merchandising performance on the music publishing side? I'm curious to hear your latest thoughts there. And then just Eric, maybe two points of clarification. First, you talked about 9% growth in the revenue lines not impacted by COVID, but I think that's still includes advertisers. So I'm curious, is advertising fully recovered in your view or do we still have some ways to go there, and then just a paraphrase your commentary on fiscal ‘21 just to make sure that we got it right, it sounds like you're looking for results. I assume that means revenue and adjusted OIBDA, adjusted EBITDA, largely in line with kind of what you articulated coming out of the IPO process. It sounds like maybe it's a little more second half weighted, but otherwise largely consistent. Guys I want to make sure that we kind of heard that all correctly. Thanks, guys. I appreciate it.
Stephen Cooper: Great, so just to be crystal clear Matt, we see live in a couple of ways. First of all, we think there's a very reasonable probability that this last 7, 8, 9 months and the continuing COVID assault has begun and has changed a number of people's habits. So when we talk about live and we talk about touring, our intent is to continue to invest in live streaming, live concerts, VR concerts, and continue to support not only new habits, but the marketplace for this sort of entertainment at home. Because we believe at least, even with the announcement of the vaccines, the distribution is going to be very difficult for the foreseeable future. And we think that there is going to be an ongoing market for live streaming, for VR concerts, so on and so forth. When it comes to live touring per se, based upon the success of any of these potential vaccines, and the way people are thinking at that point in time, will determine how successful the return to live is. My own personal view is that there are going to be, there's going to be some change of thinking about packing yourself into stadiums or arenas. I think there's some concern about returning to a mass for this society and I'm not smart enough to know how all of this is going to play out. But what I do believe is that the new normal, whether it's the summer, whether it's later in ‘21, or it's differed to ‘22, the new normal is going to look different than the old normal that we were all used to in 2017, 2018, and 2019. How it plays out, I think is highly uncertain. But what I do know, as people's habits are changing, our intent is to identify these trends, and ensure that whichever way the wind blows, we are there to support them with our music and our artists, that much I do know.
Eric Levin: Great, let me tackle Matthews last two questions, so and thank you for them. They're good things to just make sure we take a moment and clarify. So on the Q4 revenue numbers that we quoted, which was 9%, growth, revenue growth in Q4, excluding artist services, and recorded music, and performance on music publishing, that's just meant to be represent math. In two of the areas that were most affected by COVID, if you pull them out that the rest of the business is still showing 9%, close to double-digit growth. But to clarify your point, you're right. In that 9% are still areas that are materially affected by COVID. So then think and licensing is still in there. As we said in our prepared remarks, TV and film production is still only a fraction of what it was pre-COVID and what we expect it to be once we come out of COVID, so think in licensing opportunities, we think has a significant opportunity to rebound in Warner Chappell sync was up 17% in the first half of fiscal of '20 and was down in the second half of '20. So there's significant upside, still within the areas covered in the 9%. But we just wanted to give we'll call it a simple algebraic metric so you could see how much if you pull out two of the most impacted areas are the underlying business was growing, but you're right, there's ups. And then the second piece was on the '21 weighting towards the second half of the year. That is right. We are saying that the full year our internal expectations at the time of the IPO for the full year, is what we are still targeting and we believe it is something that we can strive for. But that based on timing of revenue streams, which are impacted by COVID, and timing of our release schedule, that our business will be somewhat more second half weighted correct. Thank you, Matt.
Stephen Cooper: Go ahead.
Operator: And I was going to turn it back over to you guys for closing comments.
Eric Levin: Steve, did you want to make closing comments Steve?
Stephen Cooper: Sure. I want to get this very brief. Just thanks everyone for taking the time out of what I'm sure you're busy schedules to join us today and I hope that everyone has a safe and a wonderful Thanksgiving and I hope that we all stay not only safe, but sane. So, we'll talk to you in a few months. Thanks, everybody and happy holidays.
Operator: Ladies and gentlemen, this concludes today's presentation. We thank you for your participation. You may all disconnect and have a wonderful day. Speakers, please standby.